Operator: Good morning and welcome to Brunswick Corporation’s 2010 second quarter earnings conference call. All participants will be in a listen-only mode until the question-and-answer period. Today’s meeting will be recorded. If you have any objections, you may disconnect at this time. I would now like to introduce Bruce Byots, Vice President Corporate and Investor Relations. Please proceed.
Bruce Byots: Good morning and thank you for joining us. On the call this morning is Dusty McCoy, Brunswick’s Chairman and CEO and Peter Hamilton, our CFO. Before we begin with our prepared remarks, I would like to remind everyone that, during this call our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For the details on the factors to consider, please refer to our recent SEC filings and today’s press release. All of these documents are available on our website at brunswick.com. Also, during our call, we will be referring to a chart containing dealer pipeline information. If you have not yet retrieved the chart, you may do so by going to the Investor Relations section of our website. I would now like to turn the call over to Dusty.
Dusty McCoy: Thanks Bruce and good morning, everyone. By now, I hope you’ve had the opportunity to review our second quarter earnings release. Our strong results for the past two quarters continues to reflect the hard work of our employees, dealers and suppliers, which has allowed us to take advantage of our historically low and well managed marine inventories. As well as the significant fixed cost reductions achieved during the past 2.5 years. We reported net earnings in the quarter of $0.15 per share on a sales increase of 41%. This represents our first positive quarterly net earnings since the first quarter of 2008. The quarterly EPS includes $0.26 per share restructuring charges and $0.02 per share of charges for special items, that would be tax items. Our quarterly operating earnings, excluding restructuring, exit and impairment charges were $80 million, an improvement of about $109 million compared as compared to the loss experienced in the prior year. Our operating margin, tax charges were slightly less than 8% in the quarter. This represents our highest consolidated operating margins since the second quarter of 2006. Significant increases in wholesale units in both our engine and boat segments were the primary drivers of our overall 41% topline growth, which generated a significant improvement in fixed cost absorption in our Marine businesses. Further contributing to the strong operating leverage demonstrated in these businesses were lower discounts of approximately $38 required to facilitate retail boat sales and about $20 million of reduced bad debt provisions primarily in the Engine segment. Lower pension expense of approximately $10 million also had a favorable effect on the Engine and Bowling & Billiards segments, as well as on corporate expenses. The portion of the pension expense reduction, and the lower bad debt expense were the primary factors that reduced our second quarter’s SG&A by 14%. Our cash increased by $93 million from year end and net debt decreased by $120 million. Peter will comment in his remarks on the key factors affecting the quarter’s improved cash position, as well as provide you with an update on cash flow targets for the remainder of the year that will support our objective of generating positive cash flow in 2010. Although encouraged by our first half financial results, driven primarily by a return to a more normal relationship between wholesale and retail sales, overall Marine retail demand continue to decrease in the first six months and remained at historically low levels. Let’s review the preliminary second quarter US Marine industry data. Fiberglass sterndrive in the inboard boat unit retail demand fell by 29%. This compares to declines of 23% in the first quarter of 2010 and 33% in the second quarter of 2009. Outboard fiberglass boat retail unit demand fell 16% in the second quarter. This compares to declines of 22% in the first quarter of 2010 and 29% in the second quarter of 2009. Aluminum product demand increased by 4% in the quarter. This compares to a declines of 15% in the first quarter of 2010 and 26% in the second quarter of 2009. After taking into account the different unit volumes represented in each of these segments, preliminary total industry unit demand declined approximately 9% in the second quarter. This compares to a 20% decline in the first quarter. For the first six months of 2010, total industry demand declined by 13%. The 13% first half decline is slightly greater than our full-year 2010 timing assumption of down 10%. While the lower price aluminum boats have begun to show signs of stability which could be a leading indicator of future demand for the overall boat market, perhaps capitalize boats had yet to experience any significant improvements, as (inaudible) declines are only modestly less than the declines experienced in 2008, in 2009. The consumer remained very reluctant to demand in this category. Retail demand has not only been mixed by category but also by geographic regions. One area of note is the multi state region that has been hit by the Gulf oil spill beginning in late April. The incident has more significantly affected our Saltwater fishing brand, prior today’s announcement regarding the sale of our Triton brand our exposure in the menus may reduce. Our recreational brands had been affected to a lesser degree. And all of the future ramifications upon our businesses remain unknown, we’re encouraged by the recent news regarding the containment of the Orley (ph) in the decline in surface oil. Our Engine segment sales are outside the US increased by 28% for the quarter compared to the second quarter of 2009 and our boat sales outside the US increased by 64%. These increases are less than those we experienced in the US, a non-US market had not experienced the overall level of declined which we’ve seen in US. We’re pleased with our growth in marine markets outside the United States. Marine demand in retail in Australia and South America remains healthy. Demand in Europe varies by region. Demand in Scandinavia and those countries are most affected by the debt crisis in Europe remains under stress, our demand in Central Europe remains stable. Demand in the CIS has been improving. Back in the US, the retail boat finance market continues to improve. The loan portfolios of lenders are getting healthier as credit metrics are moving in the right direction, and the quality of new loans is improving as we hold a more stringent underwriting and down payment requirements If those were up for lending comparison which has been adequate and lighten sale demand. interest rates on boat loans have experienced sharp declines especially for high quality customers. And this reflects the very low interest rate environment. Let’s turn to our dealer pipeline, an area we have been careful in managing. As previously stated we have been on a dealer-by-dealer basis identifying minimum stocking models. You can see on the supplemental chart that we have been providing with our quarterly earnings releases. We are targeting end of year levels to be in the range of 13,000 to 15,000 units. This analysis has now been adjusted to replace the announced sale of our Triton fiberglass boat business. Compared to last year, our second quarter pipeline reflected approximately 4,300 fewer units or a 23% reduction. As a result, the quarter ended with 27 weeks of products in the pipeline on a trailing 12 month retail basis compared to 28 weeks at the second quarter of 2009. In order to meet our dealers required stocking levels, throughout the first half we began to increase boat production and wholesale shipments. We increased our second quarter boat production by more than 2.5 times 2009 levels and decreased shipments of boats to our dealers by nearly 75% versus last year. Throughout the industry, the level of aged product is mainly reduced but remains at higher than desired levels, therefore the market continues to be influenced by retail discounts. We believe that the rebalancing will be essentially completed by the end of this year. However, as a result of the reduced levels of aged product experienced in 2009 at Brunswick dealers, our level of discounts required to facilitate retail boat sales in 2010 have been and should continue to be at much lower levels than we incurred in 2009. Boat segment sales more than doubled in the quarter, primarily reflecting the increased wholesale unit levels and the impact of lower discounts, this amount was partially offsetting by lower average selling prices resulting from a higher mix of less expensive products. Our dealers continue to make excellent progress in improving the health of their floor plan financing metrics, all domestic floor plan loans outstanding declined 19% as compared to year end 2009 levels. Also, outstanding floor plan loans on domestic inventory aged greater than 12 months were reduced by 54% as compared to year end in 2009. The mix of aged product in the second quarter continued to move in a favorable direction and we expect this trend to continue leading to a return to a more normal ratio by the end of the model year. In our Engine business, production in the quarter was more than 60% higher than a year ago levels with a growth in sterndrive engines trending at a higher levels than outboard units. All of Mercury’s operations experienced strong increases in sales and review of the mix of businesses within Mercury will give you a more detailed view of the Engine segment’s 39% growth in second quarter revenues. Our Domestic Parts and Accessories business, which in the quarter represented about 28% of the segment’s revenues, was up approximately 13%. The growth experienced in this business continues to demonstrate experience of overall boat participation. International markets which currently represent about 41% of the segment’s revenues, increased by 28%, this increase once again exceeded our expectations as Latin America, Europe and Canada experienced strong sales in the quarter. When you combine these two sub segments, which account for more than two-thirds of the overall Engine segment, revenues increased by about 21%. Our engine operations accounted for the remaining revenue increase. Mercury’s strong topline growth, which was weighted more heavily towards the sterndrive engine business, combined with lower bad debt expense, fixed cost reductions improved operating efficiencies, lowering restructuring in pension expenses helped drive even stronger growth in operating margins. Let’s turn our attention to our two recreational businesses. Sales in our Life Fitness segment were up 17% as compared to last year’s second quarter. International sales were the primary contributor to the strong quarterly growth. We experienced year-over-year growth in revenues of 39% throughout our non US customer base. Segment operating earnings grew by about $9 million, in addition to the benefits from increased unit volumes and more favorable product mix, raw material costs, and operating efficiencies contributed to the higher level of profits. Sales in Bowling & Billiards were basically flat in the quarter as we saw an increase in Bowling products primarily in international markets, was offset by a decline in revenues at our retail Bowling centers. Same store retail Bowling revenues were down in mid-single digits. Operating earnings excluding restructuring charges were also flat in the quarter. Now, I’ll turn the call over to Peter for a closer look at our financials and then I’ll come back to give you an update on our perspective on how we are planning for the remainder of 2010.
Peter Hamilton: Thanks, Dusty. I would like to begin with an overview of certain items included in our second quarter P&L and will also comment on some full year 2010 data points. Let’s start with restructuring exit and impairment charges which were $24.2 million or $0.26 a share in the quarter. This amount primarily reflects charges at our Marine operations. At July 20th we announced plans to consolidate production of our Cabo Yacht brand into our existing Hatteras manufacturing facility in North Carolina and earlier today as Dusty said we announced the sale of our fiberglass fishing brand Triton to flattened equity. Both of these actions demonstrate our ongoing efforts to further reduce fixed costs and refine our product portfolio and manufacturing footprint. When we combine the benefits from both actions we anticipate that they will improve our operating performance by approximately $10 million on a run rate basis. Also included in the second quarter were charges pertaining to the plant consolidation actions at Mercury. Our revised estimate of total 2010 restructuring charges is now in the range of $55 million to $60 million with about $20 million to $25 million of that is now being non cash. Interest expense was $24 million in the quarter, an increase of $6 million versus the same period in 2009. This increase reflects greater debt levels, along with a higher cost of debt resulting from the refinancing activities completed in the second half of 2009. Also during the second quarter of 2010 we recorded a $4.1 million loss incurred on the retirement of approximately $25 million of 11 and three quarter percent 2013 notes which were retired at a premium versus their book value. For the second half of 2010, additional retirement of debt we expect interest expense to be approximately $23 million per quarter. I’d like to provide some additional perspective on Dusty’s comments on the growth of our international operations. In the foreign currency considerations that are associated with this growth. In many of our businesses we export US manufactured product into international markets, though a strengthening dollar can have a negative impact on our results. This is particularly the case versus the Euro which is the company’s largest foreign currency exposure although the net exposure to the Euro is less than 5% of our consolidated sales. During the quarter, foreign currency which reflected a mix of favorable and unfavorable exchange rate movements had a very modest unfavorable effect on operating earnings on a year-over-year comparison basis. This does include the impact of our hedging activity which helps to moderate the impact of currency exchange fluctuations have on year-over-year earnings comparisons. Changes in foreign currency also had a negligible unfavorable effect on our sales growth in the quarter. In the second quarter, we recorded a tax provision of $15 million which related primarily to earnings from our foreign operations and includes a $1 million charge for special tax items. In the second half, we approximate our provision to be in the range of $3 million to $5 million per quarter. Now, let’s turn to a review of our cash flow statement, which supports our 2010 objective of maintaining strong liquidity by generating positive free cash flow. Beginning with cash from operations. Cash flows from operating activities were $110 million in the second quarter and $28 million in the first quarter totaling $138 million for the six month period. The first quarter benefited from a $109 million federal tax refund. Some of the other key items in this section is the cash flow statement include adjustments to earning for non-cash charges such as depreciation and amortization which was $68 million in the first half. Our current D&A estimate for 2010 is still approximately $130 million. Pension expense resulting from our defined benefit pension plans totaled approximately $10 million in the second quarter, compared to $21 million in the prior year. From the first six months of 2010 pension expense was $20 million. Our pension expense is expected to total approximately $40 million in the full year 2010, versus $96 million in 2009. This decline results primarily results from the decisions to freeze benefits in the company’s two largest plans in 2008 and 2009. In the second quarter the company made cash contributions to pension plans of approximately $8 minimum. A minimum cash contributions associated with the pension plans for the remainder of the year is expected to be between $15 million and $20 million. As expected working capital was a use of cash in the first half and totaled approximately $74 million. Accounts and notes receivable increased by $115 million, net inventories decreased by $9 million, accounts payable increased by $52 million and accrued expenses declined by $21 million. Our initial plan reflected that we would maintain at least flat working capital in 2010 and given the seasonality of our marine businesses, we anticipated that we would cash to fund working capital in the first half of the year and then generate cash in the second half. Our current plan continues to reflect this seasonal cash flow pattern. Capital expenditures in the first half were $19 million. Our full year plan is unchanged at $60 million. So in summary, in the first half we generated about $129 million in free cash flow, this amount does not include the approximately $9 million of the net investments made in one of our existing marine engine joint ventures during the second quarter. in addition to our free cash flow in the first half, we received approximately $10 million in government incentives in the form of partially forgivable loans pertaining to the Mercury consolidation. This amount was received in the first quarter. these incentives were recorded as debt on our balance sheet and accrue interest at low single digit rates. We anticipate receiving about $15 million of additional incentives in the remaining two quarters of 2010, approximately $10 million of which will be classified as debt. So excluding the receipt of the Mercury incentives net cash used for other financing activities in the first half was $37 million primarily reflecting payments to retire debt. When you factor in all these items, our cash balance increase by $93 million from year end ‘09 with a balance of $620 million at the end of the second quarter, which is almost a $160 million, higher than the second quarter 2009. In supplementing our cash balance is the net available borrowing capacity from our two ABL facilities of approximately $132 million which when combined with our cash puts us with total available liquidity of $752 million, which is $137 million higher than at year end and over $200 million greater than the second quarter of 2009. Finally, I’d like to supplement Dusty’s remarks with an update on some key metrics that we’ve been sharing with you regarding the health of our dealer network. For the second quarter, boats tendered to us for repurchase totaled approximately $100,000. The actual cost to us in carrying out this repurchase obligation was less than $20,000. As you can see we’ve made remarkable progress in this area. We continue to believe that the strategic actions taken over the past several quarters have maintained and actually improved the relative health and quality of our dealer network, which remains a key differentiator for us in this marine market. And now I’ll turn the call back to Dusty for some concluding remarks.
Dusty McCoy: Thanks Peter. I’d likely conclude the call today by updating you on some of our business assumptions for the remainder of 2010 and beyond, We entered the year with a plan that reflected the challenging global economy, including a marine market that was continued to decline. With a little over a half of the calendar year and a good portion of the prime selling season behind us, our finding assumption in overall US retail marine market demand in 2010 would be down about 10%. It’s proven to be slightly optimistic as remarkably the second quarter is down about 13%. However as we described earlier, the variability in retail market demand trends for our products is significant. As we look at the remainder of 2010, we are planning for this variability to continue and for the market to experience the clients similar to those we experienced in the first half of the year. Our plan continues to reflect full year wholesale boat shipment growth in the 50% to 60% range, with the most likely outcomes would be in the lower end of that range given the slightly greater level of retail declines. We refer you again to our topline chart that depicts two illustrations, one with retail down 10% and the other down 20%, which we can now refer to as a downside scenario. This illustrative analysis would allow you to better understand the potential effect of our changing retail demand maybe on our wholesale shipments in the ending pipeline levels. Discounts used to facilitate retail boat sales should continue to decline in the subsequent quarters when compared to the prior year. The Marine Engine and Fitness segments have thus far exceeded our initial expectations as international revenue growth in both of these businesses has been greater than anticipated. However our comp plan reflects only modest growth in our Engine segment in the third and fourth quarters and therefore we anticipate that our second half consolidated revenue growth rate will be less than what we achieved in the first half. Successful executing against our strategic objectives in the first half has allowed us to achieve our objectives of generative positive cash flow and to demonstrate outstanding operating leverage. Peter has elaborated on our task flow targets for the year. regarding our incremental operating leverage which is very strong in the first half, we continued to target incremental average excluding benefits from lower discounts, pension and bad debt expense on a consolidated basis in the 35% to 40% range for the duration of the year. Although we reported a slight profit for the first six months of 2010, we anticipate that we will report a net loss for the full year due to seasonal factors affecting in the second half especially the fourth quarter. For the remainder of the year, we will continue to closely manage our overall cost structure. In addition we plan to keep our production in wholesale levels closely match with retail demand, which will share the continuing health of our dealer pipeline. As we begin to look forward, state of the global economy in the health of marine markets, we are maintaining our objective to be profitable beginning in 2011. We continue to reduce our pretax earnings breakeven points and our objective is to be breakeven in US retail market down to 135,000 units. Our ability to reduce our breakeven point is primarily result of the numerous actions we have taken to significantly reduce our cost structure and enhance our overall future earnings profile. For example, including the announcements made this month, by the end of 2010, we have reduced our boat manufacturing footprints in 28 facilities at the end of 2007 down to 11. These actions have translated into our ability to demonstrate outstanding operating leverage thus far in 2010 and should enable us to achieve or exceed our previously stated profitability targets in future years at various higher levels of the end markets during demand. And with that we’d be pleased to take the questions today.
Operator: (Operator Instructions) The first question comes from the line of Ed Aaron with RBC Capital Markets. Please proceed.
Ed Aaron – RBC Capital Markets: Thanks, good morning everybody and nice to see you back to profitability.
Dusty McCoy: It’s nice to be here Ed.
Ed Aaron – RBC Capital Markets: So I guess my first question when we look at the quarter obviously there is big seasonal lift in sales, but if I kind of annualize the sales and earnings for the quarter, it shakes out to something north of $4 billion on EPS basis obviously without, excluding the restructuring and assuming no taxes, about $1.70, Dusty isn’t that $4 billion number kind of consistent with a retail market that’s in the roughly 170,000 unit range and then if that’s the case is – is that earnings rate kind of indicative of what you would expect to earn based on your current cost structure if the retail market ultimately return to that level?
Dusty McCoy: You’re saying $4 billion, how much?
Ed Aaron – RBC Capital Markets: I’m just saying so a little over $4 billion and if you annualize the current ex items earnings rate from the quarter, it’s about $1.70 a share.
Dusty McCoy: That’s starting to be in the range.
Ed Aaron – RBC Capital Markets: Okay, thanks and then, just on the mix side, I’m a little bit nervous about just the discussion around the unit percentage changes just given the mix shift toward aluminum versus fiberglass, and how that would translate into dollar sales performance as opposed to just unit production increases. If we assume that the market is going to be down, call it mid-teens in unit terms, when you factor in the negative mix shift, and if I am thinking about your boat segment on a gross dollar growth basis, would it be fair to assume that the gross sales growth would be a little bit more consistent with the minus 20, or let me say that in different way but the 30% to 40% increase that you talked about in the minus 20 scenario?
Dusty McCoy: Ed, I got to apologize to you. I have just gotten lost in the question. Could you try me one more time?
Ed Aaron – RBC Capital Markets: Sure, so your – in your minus 20 retail scenario, you have production or shipment growth up 30% to 40% and if I’m thinking about your boat group on a gross dollar sales growth basis, before accounting for the growth to the promotion adjustments, do you think that gross dollar sales growth if, would be in the 30% to 40% range if the – given the negative mix shift assuming that market comes in more or like down mid-teens from a retail standpoint?
Dusty McCoy: I see what you’re saying, the one thing you have to take into account here are fewer discounts. So I think if it were down in mid-teens, the dollar will not be equal to what we will, if you’re thinking it would be in the down 20 scenario, it will be something closer to say in between the two, it will fairly well match as we see it right now Ed, the unit increase. I’m kind of doing some quick mathematics so I’m answering very slowly here. But it will not equate – revenue side will not look like we’re down 20, nor will it look like only down 10, it will be something in the 20s (ph) because I know that’s a broad range Ed, but it’s really hard to continue to depict mix here as we look forward.
Ed Aaron – RBC Capital Markets: I understand, sorry for the confusing.
Dusty McCoy: No, it’s okay. No I got it, I just couldn’t listen.
Ed Aaron – RBC Capital Markets: Okay and then just one more if I could and I think I might have asked this last quarter but we’re through a few important month between then and now. When you think about the big fiberglass stuff and that’s where you still have weakness and it seems like some of that’s a function of migration of demand from new to use and I just curious to get an update on where you think we stand with the absorption of recent model year, used inventory that’s been sold for pretty well prices out there over the last 12 months or so. Thanks.
Dusty McCoy: Okay, a great question and let’s see if we can step back and talk about and I guess a bit and you and some of the other folks on the phone are talking (inaudible) about this. If we look over a 10 year span, the real boat sales market and these are going to be very broad numbers which is the combination of new and used boats that change in so those are buyers out there buying one or the other. Have not declined in the 55% range that we’ve seen new boat sales decline. It’s more like 20% and that’s because the ratio of new to use had changed especially here in the last couple of years. And it’s gone from more like Ed, 75-25 to something more like 85-15 especially in the last couple of years. If you begin to put math back in, this is an important point to think about the new market. if the ratio begins to come back in line with 75-25 rather than 85-15, we add say 8,000 new units for each one point decline in that ratio or say differently one point increase in the new sales ratio. Therefore taking a look at what the used boat inventory is like and what we think is going to happen to this boat inventory going forward, is a really important question not only for us but the industry. It’s clear that our dealer network and then frankly dealers throughout the industry have done a magnificent job handling brokerage in used boats and they’ve done quite well. And this has been an important factor in to help out the industry in the overall dealer network. So with all of that said up Ed, well we are hearing – I’ll just tell you we don’t have hard data but we’re after it. It is that the quality used boats that consumers had been looking for are on the decline, that even advertising for used boats, (inaudible) the way many dealers would like and the price for them has begun to increase and that begins to speak to the overall supply and demand situation and the margin dealers had been able to make on in has began to decrease. So as we sit back and look at it just because they are really important factor of the industry in the coming months and perhaps even years and you’re on to something with the question as well as other two written about it and it’s something we’re all going to have to watch and we do need to go some more data around. Does that helpful?
Ed Aaron – RBC Capital Markets: It is, thank you.
Dusty McCoy: You’re welcome.
Operator: Your next question comes from the line of Carla Casella with JP Morgan. Please proceed.
Miley Seonie (ph) – JP Morgan: Hi, this is Miley Seonie here for Carla. What are your targets for debt reduction and what do you intend to do with your large cash balance?
Peter Hamilton: This is Peter and as we’ve said in the past, our use of cash particularly in the next shorter term period, the next couple of quarters will be focused on debt reduction and we don’t have specific targets, we are dealing with it opportunistically to see the reductions that we’ve done in the first half of the year which in total amount to about $37 million and we will continue to look at opportunities to reduce debts – to reduce debt equity prices throughout the remainder of this year.
Miley Seonie – JP Morgan: And how much cash do you think you need to keep on the books for operations?
Peter Hamilton: We have typically said conservatively a $0.5 billion. In these uncertain times, we may be temporarily somewhat more conservative than that, but those are the basic matters.
Miley Seonie – JP Morgan: Thank you.
Operator: Your next question comes from the line of James Hardiman with Longbow Research. Please proceed.
James Hardiman – Longbow Research: Hi good morning and thanks for taking my call. Let me ask the mixed question in a slightly different way, looking at your two different assumptions for wholesale shipments, 50 to 60 or 30 to 40, either way, does that equate to a comparable increase in boat segment dollar growth, in another words what’s the affect on pricing that you have sort of built in to your assumption and has that – have those assumptions changed given the skew of mix towards the lower end boats?
Dusty McCoy: The first, average selling price has declined somewhat this year and that’s because consumers are going to less expensive boats in any segment. So it’s not only if they’re aluminum or other, but even absolutely look in fiberglass segments, consumers tend to be going to the less expensive boat in either particular segment. But with that we anticipate that boat revenues will be more than the wholesale year end (ph) increase on a percentage basis at any point on the charts and…
James Hardiman – Longbow Research: Okay, that’s helpful.
Dusty McCoy: And the reason is because the discounts, the lack of discounts.
James Hardiman – Longbow Research: Right. Okay and then I just wanted to talk – get a little bit of color Dusty, on sort of your last comment in the prepared remarks. I think I heard you say that your breakeven which previously was I think somewhere north of 150,000 units for the industry is now closer to 130,000. So it sounds like you guys have exceeded or you clearly exceeded I think most street expectations, it sounds like you had exceeded your own internal expectations from a cost perspective. Can you give us a little bit more color around that, can you maybe quantify fixed versus variable cost and how those have changed and or sort of what on the margin line has improved versus your prior assumptions allows you to say that?
Dusty McCoy: First I want to be careful with the numbers, in my prepared remarks I probably said 135.
James Hardiman – Longbow Research: Okay.
Dusty McCoy: And frankly that’s $9 million (ph). The (inaudible) as we move from 150 to 135, if we just continue to do a lot of hard work looking at cost number one, number two, we continue to be more productive in all of our facilities than even our best planning said that we could be and we’ve added to the plan consolidation less, we’ve continued to take plans offline and or exit brands that were not good contributors from an earnings perspective and when you add all that up, we continue to pull it down to the point that we believe in a market down to a 135,000 units. So we will do right even the better (ph).
James Hardiman – Longbow Research: So I guess, that’s all, I guess my question is, is that improvement going to be comparable as we ratchet up our industry assumptions, in another words…
Dusty McCoy: Is it going to get better at the levels we’ve been talking about.
James Hardiman – Longbow Research: Exactly, is it are you trading sticks for variable in which case your breakeven would go down but your leverage would also go down, so you won’t realize as much of a benefit as you go up or is it really that you took cost entirely out of the system here and that we should see comparable increases as we work our way up?
Dusty McCoy: We have always been talking in with numbers, 150, 170, 200 and giving some targets around those. With this new breakeven point that unit levels industry unit levels should decline somewhat in order to stay at, I would stay at the same target.
James Hardiman – Longbow Research: Okay, so when you talk about I forgot what the number was that you would need to get to, to have sort of record earnings, I think is one of the industry targets you said I want to say it was maybe in the hundred and…
Dusty McCoy: It was actually 200, we said it 200, our margin dollars would be equal to – equal to or better that we had obtained when industry was at 300.
James Hardiman – Longbow Research: Okay, I mean is that lower or is that, it’s about the same?
Dusty McCoy: It would probably a little lower.
James Hardiman – Longbow Research: Okay. It’s very helpful. Thanks guys.
Dusty McCoy: You’re welcome.
Operator: Your next question comes from the line of Tim Conder with Wells Fargo. Please proceed.
Tim Conder – Wells Fargo Securities: Thank you. Dusty, just wanted to continue on that last question, I think in the last conference call you guys had thrown out around the 170 number if I recall correctly and again maybe there is a new ones here as in clarifications what I’m asking for, are you saying that your dollars corporate wide or dollars in marine would be equivalent at that 170 or whatever the number is industry level to where it was at 300. Is it marine margins, marine dollars or corporate margins, corporate dollars and I guess some clarification on the unit level?
Dusty McCoy: Of course, we had said Brunswick operating margin dollars – margin percentage at 170 would equal what we were obtaining when we were at 300.
Tim Conder – Wells Fargo Securities: Okay.
Dusty McCoy: Margin dollars were 200 compared to 300.
Tim Conder – Wells Fargo Securities: Okay, that’s where the confusion is, okay. on a corporate wide basis.
Dusty McCoy: And if I miss spoke earlier, I want to make sure the first number is margin percentage, the second number is margin dollars.
Tim Conder – Wells Fargo Securities: And again on a corporate wide, not on just the marine basis?
Dusty McCoy: That’s correct, its Brunswick number.
Tim Conder – Wells Fargo Securities: Great, okay. Thank you for your clarification.
Dusty McCoy: Actually I probably caused the confusion.
Tim Conder – Wells Fargo Securities: No, thank you very much. Any color that you gentlemen can give on July retail, the question was asked on MarineMax’s call and just want to hear your opinion on it. And then also…
Dusty McCoy: What did they say?
Tim Conder – Wells Fargo Securities: They said that July was a little bit better than June which historically is not the case but that’s what they were seeing.
Dusty McCoy: Tim, our view is that nationwide throughout the entire dealer network, July trends look like what we’ve been seeing all year.
Tim Conder – Wells Fargo Securities: Okay and hence then your guidance for down 13 first half of the year similar for the back half of the year?
Dusty McCoy: Correct, yes.
Tim Conder – Wells Fargo Securities: Okay. And a couple of other items here, the discounts I believe you gentlemen have talked about before were probably the most year ago on the second quarter, can you kind of give us what the – how that’s looking in the back half of the year, or what that actual number was on boats that discounting and I think you had thrown out some bad debt number earlier for engines but maybe a little more color on the discounts. What they were in the second quarter on both and then the back half for the year comparable?
Dusty McCoy: Yes, let me help you a little bit, let’s see if I can help.
Tim Conder – Wells Fargo Securities: Okay.
Dusty McCoy: A little bit, bad debt was in the quarter less $16 million (inaudible) so hold on a second, let me find. The retail discounts were $38 million and bad debt was 20.
Tim Conder – Wells Fargo Securities: For boat.
Dusty McCoy: In the quarter.
Tim Conder – Wells Fargo Securities: For boat and marine overall.
Dusty McCoy: The $38 million is boat.
Tim Conder – Wells Fargo Securities: Okay.
Dusty McCoy: The $16 million – the $20 million is Brunswick.
Tim Conder – Wells Fargo Securities: Okay.
Dusty McCoy: Which was primarily in this.
Tim Conder – Wells Fargo Securities: Okay, great. That helps. And then Peter on pension expense, you gave some color on the cash side of it in the quarter, what is that for the full year? Do you anticipate that being lower for the cash or maybe another way to ask it, what do you anticipate for full year from a cash perspective on pension and then the different year-over-year?
Peter Hamilton: It would be about $25 million Tim in cash for this full year 2010, which is a little bit more than about the $22 million in ‘09.
Tim Conder – Wells Fargo Securities: Great, okay. and then lastly gentlemen, from a purchase standpoint, is there anything referred within the industry or do you see any trends changing to whereby there may be a development or people looking to develop more of a sort of time share type of situation especially as you move into larger boats, are you seeing anything from that perspective?
Dusty McCoy: We know there were lot of people who are working on it in terms of it being an industry trend.
Tim Conder – Wells Fargo Securities: Okay. And then I did have two other questions on the Triton and Trophy. If I read the press release on Triton correctly, it appears that you do have some type of engine supply agreement, any color on the links of that and then in your valuation of Trophy, if that were to be sold, would that be a condition of the sale?
Dusty McCoy: Probably are not to disclose our engine supply agreement, probably I have to ask Platinum if they want to disclose. In terms of Trophy, Trophy is a Mercury, is a brand that has always carried Mercury product and I believe is that going forward that would continue to be the case.
Tim Conder – Wells Fargo Securities: Okay, thank you sir, I appreciate it.
Dusty McCoy: You’re welcome. Thank you Tim.
Operator: Your next question is a follow-up question from Ed Aaron with RBC Capital Markets.
Ed Aaron – RBC Capital Markets: Thanks, just had a follow-up on the outlook for pension, Peter when you look at the 2011, do you think of that number might go back up and we’ve seen some off calendar year companies talk about higher pension just because the changes in the discount rate assumption and I wonder if that might have an impact with you as well?
Peter Hamilton: Yes, it will definitely go up in 2011. Now are you talking about the cash contribution or the P&L expense?
Ed Aaron – RBC Capital Markets: P&L.
Peter Hamilton: Yes, the P&L will definitely go up. The numbers I gave previously were contributions, the pension expense full year, this year 2010 will be about $40 million and it will probably go up $4 million or it will probably go up $5 million or maybe even at the most top level $10 million next year in 2011.
Ed Aaron – RBC Capital Markets: Okay and then on the bad debt for the back half. How much of an improvement are you forecasting year-over-year just in the back half?
Peter Hamilton: For the year as a whole we are forecasting very minimal bad debt expense and so there will be very minimal, our estimate is very minimal bad debt expense in the second half of the year.
Ed Aaron – RBC Capital Markets: And I just apologize I don’t recall the number for the second half of last year but if I’m just thinking about what that translate into year-over-year improvement to, (inaudible).
Peter Hamilton: Yes, the year-over-year improvement for forward looks come to be – would be in the $40 million range.
Ed Aaron – RBC Capital Markets: Thank you.
Dusty McCoy: Welcome.
Operator: Your next question comes from the line of Joe Hovorka with Raymond James. Please proceed.
Joe Hovorka – Raymond James: Hi guys, a question on your weeks inventory again at the second quarter, I know seasonally you always have a decline from the first quarter, and this year it was I guess it was two weeks 29 to 27. Historically it’s been a lot higher than that five, six, seven, eight weeks decline from 1Q to 2Q and I know we’re at low absolute level of both, so maybe this is skewing in a little bit but is there – how are you viewing that, is that less of a decline that you would have liked to see, it’s about where it is?
Dusty McCoy: It’s exactly where we had like it to be. Here is where we’re beginning to hit a point now where we need to think about minimum display or minimum stocking levels for our dealer network and one of that – we’ve talked about this in the past Joe, one of the things we’ve been doing is working with the dealer network to understand that how many boats do they need in order to conduct an effective business and then it’s our obligation as we make this a real pole system to get boats to the dealer network as they need in to either replenish those minimum stocking levels or to provide boats that are not stocked under those arrangements. So we have yearend levels that’s on the chart of around 15,000 – between 13,000 and 15,000 units is going to start to be in my judgment are pretty standard level of pipeline boats in order to keep the dealer network appropriately lubricated so that they can work well.
Joe Hovorka – Raymond James: All right, so you wouldn’t expect to be, well I guess maybe as retail sales actually start to improve is when we would start to see that number decline back to that?
Dusty McCoy: The weeks (inaudible)…
Joe Hovorka – Raymond James: Probably too many weeks that we used to see in ‘01 through ‘05.
Dusty McCoy: Exactly, this is all now becoming a bit of a calculation issue, retail versus the pipeline. And frankly at the end of the year, if retail continues to be down and re-hold the pipeline in this range the week on hand will actually go up.
Joe Hovorka – Raymond James: Right, and is that, and I guess you’re okay with that at that point, right?
Dusty McCoy: Yes, because if its – dealers don’t have enough business we’re not in business, yes.
Joe Hovorka – Raymond James: Right, okay.
Dusty McCoy: But you pick up on something that’s – that is going to be a fact as we look forward.
Joe Hovorka – Raymond James: All right. Okay, that’s it. Thanks guys.
Dusty McCoy: You bet. Thank you.
Operator: Your next question comes from the line of Richard Whitting with Broadview Advisors. Please proceed.
Richard Whitting – Broadview Advisors: Dusty, you and Peter have done a Herculean job of rescaling, retooling the marine division to nicely profitable in a much smaller overall retail boat market, and we’ve talked in a couple of different terms, I mean you’ve talked about margin percentages and margin dollars in a market that was at a $200,000 industry level versus a sort of past peak of I am sorry 200,000 unit versus the past peak of say 300,000 unit. And yet at the same time you’ve taken your manufacturing footprint from 28 plants to 11 facility. So on the one hand you’ve got a 60% reduction in plant capacity or facility capacity and you’re shooting at a market that potential new maturity might be 30%, 33% smaller than past peak. So I guess what I am looking for is a little interpolation between the two and even in your smaller, newer retool footprint, what sort of unit volume do you think you could do, could you have the capacity to service the 200,000 industry number?
Dusty McCoy: Yes Richard, first thanks for your statements to begin this, I must appreciate it. We think in the footprint that we have we can service a market 220,000, 225,000 units. We kept the plant or two mock balls (ph) and not come really close in case we need them, but then the question becomes where are they, why do we think we can do that. And we’ve talked about this in the past in the profoundness of this can never be underestimated. Our plants used to be brand plants making multiple models. Our plants today are modeled plants making multiple brands and the efficiency that our folks in the boat business are achieving in this manufacturing model is actually outstanding, that’s one of the reasons we think we pulled our breakeven down and some and I can’t – I congratulate our folks in our plant there, innovating this in the plants in the way they are thinking about manufacturing capacities (inaudible). The other thing that is a fact in here unless you tighten as an example, exit being an entire segment where I call a decision we’re trying to exit the first one our best segment, does not impact and if a plant is down, (inaudible) all capacity but it doesn’t speak to capacity for the segments we’ve made decisions we remain. But the combination of both of those Richard, that leave us quite comfortable that we can service the market over 200,000.
Richard Whitting – Broadview Advisors: Excellent, thank you Dusty.
Dusty McCoy: You’re welcome. Thank you.
Operator: Your next question comes from the line of Dan Mendoza (ph) with Prospect Capital Advisors. Please proceed.
Dan Mendoza – Prospect Capital Advisors: Could you give the discount number for 2009 please.
Dusty McCoy: What we said was discount for 2009 were about 23%, 24% of boat sales and the goal for 2010 is for those to be in the 11% to 12% range.
Dan Mendoza – Prospect Capital Advisors: Okay.
Dusty McCoy: And when the market would settle down, we’d like it to be something slightly under 10%.
Dan Mendoza – Prospect Capital Advisors: Okay. So will you guys talk about ASP being down across segments, are you doing that – is that number kind of before the change in discount?
Dusty McCoy: Yes, it’s before discount.
Dan Mendoza – Prospect Capital Advisors: Okay, that’s helpful. And then did you say that shipments to dealers were up 75%?
Dusty McCoy: In the second quarter wholesale shipments, yes were up 75%.
Dan Mendoza – Prospect Capital Advisors: Okay and do you have another number year-to-date?
Dusty McCoy: I do, 60%.
Dan Mendoza – Prospect Capital Advisors: Sorry, 50?
Dusty McCoy: Its six O, 60.
Dan Mendoza – Prospect Capital Advisors: 60, okay. So does that mean that kind of the second half would be really get connect down to 50%, will be whatever the number needs to.
Dusty McCoy: Yes, you can reverse the math.
Dan Mendoza – Prospect Capital Advisors: Okay, got you. And I guess just a follow-up from the MarineMax conference call there were some discussion of industry sources talking about there being additional dealer closures as we move into the winter. Is that something that you think might be applicable to your dealer base or do you think that that’s kind of mostly outside of you guys?
Dusty McCoy: I think that’s outside of us. We had talked about this before, our dealer count has remained generally flat. So we clearly have had some dealers that who rather decided not to stay in the business, say although we made a joint decision that they wouldn’t continue to carry our brands. But in every case we’ve been fortunate enough to find another great dealer in the network in a market. so fundamentally we believe our network the numbers are the same, they’re actually stronger now than it was when we into that (ph).
Dan Mendoza – Prospect Capital Advisors: Okay, that’s helpful. And I guess just one last question guys, circling back to the earlier point. Why – you maybe anticipating slightly stronger second quarter, just trying to sort of get an understanding for why you wouldn’t have maybe smooth that the wholesale shipments a little bit more evenly, healthier?
Dusty McCoy: If you look at the timing of retail sales, in the second quarter it’s a very high sales quarter and in model that says we’re having the dealer for boats, we need to host that a lot more in the second quarter in order to meet retail demand and because the business is seasonal you will see the on absolute – on a sequential basis, the volume of wholesale just naturally decreases in the third and fourth quarters.
Dan Mendoza – Prospect Capital Advisors: Okay, that makes sense. Thanks.
Dusty McCoy: You’re welcome.
Operator: Your next question comes from the line of James Hardiman with Longbow Research.
James Hardiman – Longbow Research: Hi thanks for taking my follow-up, I figure I’ll pose the question to you guys that I keep getting and I haven’t come up with a very good answer for, but obviously aluminum boats, lower end boats sound like they’re leading the recovery, that’s a little bit, it’s basically the opposite of what you would expect, right? Lower end boats were driven by unemployment, unemployment hasn’t really improved much year-over-year, higher end boats are driven by the stock margin among other things which is much better than it was last year. What do you think you’re seeing the strength from the areas of the market that you are and not at the high end boats?
Dusty McCoy: This is our view of how the market comes down and comes back. The customer who buys aluminum product are efficient for the most part except for content, but there are other – most people who people those type of boats, what I call work for a living, work for someone else and in periods of instability, especially as instability starts they like most of us become concerned about their jobs and make the decision not to buy an inspirational product. As economical risk continues and economic dislocation continues it becomes a point which those, that type customer begins to become comfortable about his or her situation and because they’re on the fishing side they use their boat for what is it, very strongly felt in emotional attached allocation. They’re the people who come back first. The people who buy fiberglass product especially I’ll say mid 20s, earn more money or they own their own businesses and we have many, many of our boat owners, from that size on us on the fiberglass side, are small, the large business owners as they get there on their own, they run their own business and their customers are the people who buy the aluminum boats. So we see the aluminum boats go first going in and actually exactly what we saw here beginning back in 2005, we began to see aluminum go down, then as the dislocation takes hold and the aluminum boat buyers concerned are translated into their abilities to do business with our bigger fiberglass buyer, the fiberglass buyer businesses then begin to suffer a bit. And then it reverses itself as the aluminum buyer begins to feel good, their business relationships with fiberglass buyer slightly improves and ultimately the fiberglass buyer comes back. All of that’s going on, but I – we cannot discount and we attempt to be very apolitical as we talk about things, but we need to understand that real concern in the United States about the economy and what the government will do to small business owners and the people who buy our larger products to their tax rates and the overall impact of government activity under a lifestyle etcetera. And until the economy settles out, the employment return and people understand where the governments know when their life is going to be, the larger buyers will continue to be an issue for us. And we structured the company with the anticipation that that we would be a kind and we’ll be happy when it ends because we’ll do very well, but there is not a lot we can do about it right now.
James Hardiman – Longbow Research: And so just to understand correctly that lower end customer going south first and then also recovering first is also the historical pattern, and I guess just a quick follow-up, I mean where, is it just an easier comp with the aluminum boats and where are – versus historical levels at a peak or at during good times, are aluminum boat sales ahead of or closer to that point than the fiberglass or is it just easier comps?
Dusty McCoy: First, the part of your last question is this is the historical mode (ph), first goes down first to come back. Actually it’s not that the comps are easier, the comps are actually a bit more difficult in aluminum because they would never decline to the rate that fiberglass has, but the aluminum market is not back to 2004 levels high.
James Hardiman – Longbow Research: Okay, great. Thanks guys.
Dusty McCoy: You’re welcome.
Operator: And there are no further questions. this concludes question and answer portion of the call. I’d now like to turn the call back over to Dusty McCoy for closing remarks.
Dusty McCoy: Thank you. As always we appreciate everybody joining us on the call. The quality of the questions and we do our best to answer as best as we can, what the questions are. We look forward to getting to talk into third and fourth quarter about what the industry is doing and what we’re doing to deal with the issues that are before us, but all-in-all we’re quite happy with the way our company is operating and with the way our employees are both performing and thinking about their jobs and industries in which we operate. So we look forward to talking to you next quarter. thank you very much.
Operator: Ladies and gentlemen, this concludes the presentation. Thank you for your participation. You may now disconnect. Have a great day.